Operator: Good morning, ladies and gentlemen, and welcome to the Element Solutions Fourth Quarter and Full Year 2022 Financial Results Conference Call. [Operator Instructions] And I will now turn the call over to Varun Gokarn, Senior Director of Strategy and Finance. Please go ahead.
Varun Gokarn: Good morning, and thank you for participating in our fourth quarter and full year 2022 earnings conference call. Joining me are our CEO, Ben Gliklich; our CFO, Carey Dorman; and our Executive Chairman, Sir Martin Franklin. In accordance with Regulation FD, we are webcasting this conference call. A replay will be made available in the Investors section of the company's website shortly after completion of the call. During today's call, we will make certain forward-looking statements that reflect our current views about the company's future performance and financial results. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Please refer to our earnings release, supplemental slides and most recent SEC filings for a discussion of material risk factors that could cause actual results to differ from our expectations. These materials can be found on the company's website in the Investors section under News and Events. Today's materials also include financial information that has not been prepared in accordance with U.S. GAAP. Please refer to the earnings release and supplemental slides for definitions and reconciliations of these non-GAAP measures to comparable GAAP financial measures. It is now my pleasure to introduce our Executive Chairman, Sir Martin Franklin.
Martin Franklin: Thank you, Varun, and good morning, everyone. We have now completed our fourth year as Element Solutions. The business has evolved exactly as we had hoped. The strategy of driving organic growth along with accretive bolt-on acquisitions has led to another year of record sales and earnings per share, all in the face of a challenging macro environment. The management organization has evolved into a growth-oriented team that has created a working cadence and culture that is better than ever before. There are macro headwinds, but the business is outperforming its end markets and growing share. There was a general consensus that at some point, the demand cycle will pick up steam and Element Solutions is perfectly positioned to benefit from growth in its core and adjacent markets. I've always believed in focusing on markets that have long-term secular growth with defensible moats that earn strong margins. Element Solutions personifies these criteria and continues to be at the cutting edge of customer development programs that create demand for many years to come. With best-in-class free cash flow characteristics and a balance sheet that continues to delever all while returning significant cash to shareholders, there is much to be excited about in the company's future. None of this would be achievable were it not for the entire employee base of the company. And I'd like to recognize and say thank you for the true dedication and excellence of the people we are fortunate enough to employ at Element Solutions. With that, I'll hand over to Ben.
Ben Gliklich: Thank you, Martin, and good morning, everyone. Thank you for joining. Element Solutions delivered record revenue, adjusted EBITDA and adjusted earnings per share in 2022. Despite a challenging backdrop, we grew earnings. Our commitments on day 1 has been to drive above-market profitable growth, and we did that once again. The automotive sector continued to suffer from a disjointed global supply chain and consumer electronics markets suffered from Asian economic malaise and an overstock following COVID-related order patterns. Nonetheless, we grew organic net sales by 5% for the full year in both of our operating segments. In the face of raw material inflation and elevated logistics costs, adjusted EBITDA grew in absolute terms and 8% in constant currency. We grew adjusted EPS to $1.41 or 2% despite a nearly 8% FX headwind from the strong U.S. dollar. One of the hallmarks of our business has been steady cash flow across a variety of operating environments. And this year, we generated free cash flow of $253 million. Our formula for value creation is a combination of operational excellence to drive above-market profitable growth and prudent capital plan. In 2022, most of our cash flow returned to shareholders in dividends and share repurchases, but we also continue to improve the returns on prior year M&A. We over-delivered our original synergy targets for the acquisitions of Coventya and HSO generating more than $10 million of incremental savings in 2022. The position we built as a global leader in industrial metal finishing with enhanced scale and technical capabilities should continue to deliver for both our customers and our shareholders. The first half and second half of 2022 were very different. The electronics momentum from 2021 continued for the first 6 months of the year, but quickly and sharply ran out of steam in the second half. This was partially offset by a recovery in automotive. Overall, volumes and demand softened while inflation persisted. We believe this is a dynamic that cannot last. Either demand will come back or inflation will subside. In fact, there are reasons to believe both may happen simultaneously, either [ pass along ] would translate to better outcomes than we saw in the second half of '22. Electronics markets are expected to inflect and our industrial business has started the year strong outside of China. This underpins our full year guidance, which we will cover shortly. First, Carey will take you through the financials in more detail. Carey?
Carey Dorman: Thanks, Ben. On Slide 4, you can see a summary of our fourth quarter results. Net sales grew 3% organically, primarily driven by pricing actions and new business wins that offset a softer volume environment in most of our verticals. Demand across the electronics ecosystem deteriorated further from Q3 to Q4. So we believe we meaningfully outperformed our end markets with flat organic sales. Global smartphone shipments declined by over 18% in Q4 '22, with even the larger Western OEMs seeing mid-teen year-on-year reduction. Against that market backdrop, our circuitry and semiconductor vertical saw organic sales decline 12% in the quarter. This was offset by 11% organic growth in our assembly business, where we continue to benefit from strong power electronics demand and resilience in circuit board assembly products that primarily serve industrial and automotive customers. In constant currency, adjusted EBITDA for the Electronics segment declined 11% year-over-year with margins roughly flat. In our IMS segment, we continue to benefit from our proactive pricing actions in Industrial Solutions and saw modest growth with automotive customers as channel inventories began to normalize. Our industrial vertical grew 7% organically in the quarter, broadly in line with estimates of fourth quarter automotive unit production growth. Energy grew 31% organically on a back of increase in offshore drilling and graphics grew 1% organically. Across the business, we experienced a moderation in material and logistics cost inflation that should continue into 2023. Constant currency adjusted EBITDA in the I&S segment grew 16%, with a roughly 100 basis point improvement in margins versus the first quarter of 2021. Adjusted EBITDA in Q4 declined 2% in constant currency terms, a function of negative mix from higher margin, high-end electronics and nonmetal cost inflation across the business. This weighed on gross margin but was offset by OpEx discipline. Once again, we demonstrated our ability to preserve overall profitability in a challenged demand environment. Reported results reflect a $14 million headwind from the translation impact of a stronger U.S. dollar. On Slide 5, we summarize our full year financial results. We grew the top line 5% organically. A significant portion of that organic growth was driven by both surcharge base and negotiated price increases instituted in the first half of the year. On a constant currency basis, adjusted EBITDA grew 8% year-on-year. Reported results reflect FX fluctuations, which drove a roughly $40 million year-over-year headwind. Constant currency adjusted EBITDA margins declined 110 basis points in the face of raw material and logistics inflation as well as mix headwinds within our high-end electronics portfolio. Excluding the impact of $428 million of pass-through metal sales in our Assembly Solutions business, our adjusted EBITDA margin would have been 25% for the year. Adjusted EPS grew 2% on a reported basis despite a negative 8% impact from FX. Next, on Slide 6, we share additional detail on full year organic results for each of our businesses. Organic growth for electronics was 5% year-over-year in 2022, which, as Ben said, was a story of [2 halves]. Our circuitry and semiconductor vertical saw double-digit growth in the first half of '22, driven by strength in semiconductor plating, memory disk demand for data centers and raw material surcharge pricing actions. These same trends are first in the second half. Smartphone unit volumes declined, data center investment slowed, leading an overbuilt downstream memory diff channel and precious metal prices stabilized or decline. This all translated to 4% annual organic net sales growth for circuitry solutions, but this figure includes a 12% organic decline in the fourth quarter as high-end electronics market softened due to COVID-related impacts in Asia and memory disk destocking. Semiconductor Solutions grew 3% organically for the full year with a similar 12% decline in Q4. Our Assembly Solutions business, which has more significant exposure to industrial and automotive end markets saw more positive trends with acceleration through the course of the year. This business grew 7% organically for the full year and 11% in the fourth quarter. Demand for our power electronics technologies remained strong throughout the year, driven by expanding electric vehicle production while demand for circuit board assembly products in our non-consumer electronics applications also remain strong into year-end. Organic net sales in the Industrial and Specialty segment also increased 5% year-over-year. Industrial Solutions, which constitutes almost 80% of segment revenue, grew 5% organically driven by pricing actions and surcharges. Sales into auto, which is roughly 40% of the business, grew mid-single digits for the year, but grew double digits in the fourth quarter. While supply chains for many OEMs appear to be stabilizing, we are still planning for more muted growth in automotive in the first quarter of 2023. Geopolitical uncertainty in Europe drove sequential softening in Europe construction and industrial end markets that have been resilient in the first half of the year. Graphic Solutions sales were flat organically in 2022 despite new business that contributed to sales growth and the impact of additional pricing actions, a slowdown in new packaging designs in Europe and North America drove a decline in industry volumes. We are making progress on multiple initiatives designed to accelerate sales and improved margin in this business in 2023. Energy Solutions top line grew 12% organically with an acceleration in the fourth quarter. We have momentum in the drilling side of the business, which should lead over time to increase production related revenues as well. We expect this high-margin business to continue its growth in 2023. Moving to Slide 7, we generated $253 million of free cash flow in the year, of which $87 million was in Q4. The quarterly cadence reflects a release of approximately $70 million of working capital in the second half. This was driven by a sequential sales decline, modest raw material deflation and a reduction in safety cost. Our other uses of cash in the fourth quarter, including cash taxes, CapEx and interest, all came in better than our expectations. We expected CapEx in 2022 of approximately $60 million, dedicated on several key investment projects in power electronics, R&D lab expansions and additional manufacturing capacity for Graphic. Several of these projects have been delayed due to key equipment availability, which drove lower CapEx deployment than our original forecast. This then will roll over into 2023. We also invested capital beyond integration efforts and customer equipment to enhance long-term relationships, primarily in circuitry and industrial. These are high-returning investments that are supporting near-term profitable growth. In 2023, we expect cash interest of approximately $50 million and cash taxes about roughly $80 million. We should continue to model a 20% adjusted tax rate for EPS purposes this year. We returned over $230 million to shareholders this year, including over 150 opportunistic share repurchases or roughly 8 million shares at an average price of $18.76. Net leverage at year-end was roughly flat year-over-year at 3.1x, despite this capital return and modest strategic investments. All our floating rate debt remains [ swap the fifth euro ] obligation for early 2024. Our balance sheet and liquidity position are strong. And with that, I will turn the call back to Ben to discuss our financial guidance for 2023.
Ben Gliklich: Thank you, Carey. The outlook for our end markets entering this year is cloudy, not unlike the overall macroeconomic outlook. As certain risks have receded, others are emerging. The warmer winter in Europe mitigated the potential worst-case energy inflation impact to industrial activity while certain metal input prices have begun to rise again. The medium-term impact of China reopening is hard to predict and its influence on industrial and consumer demand and second derivative effect on raw material pricing and logistics costs will be important drivers of 2023 results. In this context, we're guiding to roughly flat adjusted EBITDA in 2023 on a constant currency basis. At today's rates, that implies a range of $510 million to $530 million. We expect adjusted EPS of between $1.40 and $1.43. And free cash flow of approximately $275 million. The first half of 2023 will be a challenge as we enter the year on an electronic downturn compared to the momentum that carried from 2021 to the first half of 2022. Typically, electronics activity in the first half is determined by the prior [indiscernible] and we see no exception in 2023. Customers have reduced production significantly and utilization levels at circuit board and semiconductor fabs have declined, reflecting the current softness in high-end electronics and uncertainty around China reopening impact to industrial activity, we expect Q1 2023 adjusted EBITDA to increase only modestly versus Q4 2022. While adjusted EBITDA in the second half is typically higher than in the first half. This year, we expect that dynamic will be more exaggerated. We have reasons for optimism in 2023 as we look towards the second half, particularly in our electronics business. We anticipate the impact of inventory destocking in electronics end markets will ease by many years. General industry expectations are for demand to inflect positively in the second half. Given that third-party estimates expect flattish smartphone sales for the year, the first half will almost certainly show a year-over-year decline, implying a return to growth in the second half. We are already seeing relative resilience in automotive electronics and telecom infrastructure and expect there will be pockets of relative strength for the broader electronics manufacturing supply chain. These are applications where we have a strong presence. As we've noted in the past, secular growth is not linear growth, and we have conviction that the current volatility will not impact the long-term positive trends driving our electronics business. The growth opportunities we see in power electronics, 5G-enabled devices and networks, electric and autonomous vehicles, high-performance computing and sustainable chemistry remains substantial over time. In the Industrial & Specialty segment, weak industrial activity in China will weigh on first quarter results. However, overall, we expect the supply constraints that have hampered global automotive production will ease through the year. Our European construction and industrial customers are outperforming their forecast coming off a warmer winter. Anecdotally, when we surveyed our largest European surface treatment customers in the fall, nearly half expected to go to short work over the winter due to cost inflation and gas ration, [ none have it ]. Together with the momentum we have in our offshore business, the IMS segment has some wind in its sales and during 2023. While the consumable nature of our products and our highly variable cost structure help insulate our businesses from macro volatility, we are not immune. We have a prudent operating plan that accounts for the heightened level of macroeconomic uncertainty this year without sacrificing long-term profitable growth. We're proud of our efforts to protect profits and position the business to capitalize on the inevitable end market recovery. And there are significant opportunities for us in this operating [ environment ]. Our scale, liquidity and strategic horizon should allow us the stability to weather and capitalize on these markets. Our customers are actively engaged with our new technology platforms and our commercial and technical teams are focused on high-impact growth opportunities. This is a reflection of the longer-term momentum in our markets and the persistent iterative innovation we provide to our customers' products. Let me conclude with my gratitude to all of our stakeholders for their continued support of Element Solutions and in particular, my deep appreciation to our talented and dedicated people around the world, responsible for another year of growth. Our success in the future will be a product of their tenacity and commitment that I'm grateful for it. Operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Josh Spector with UBS.
Josh Spector: Just first, a couple on the EBITDA guide. So first, wondering if you could walk through your expectations on the cadence through the year, I guess, particularly 1Q to 2Q, does that step up much? What drives that? And then second, assuming most of the unknown in your range is in the second half, what are the main drivers there we should be thinking about and watching in terms of high versus low end?
Ben Gliklich: Sure thing, Josh. Thanks for the question. So our expectations for the year are for it to look like the reverse of 2022, right? So in 2022, we had a strong first half and a weaker second half, and we'll have the reverse in 2023. The first half of '23 will look like the second half of 2022. So expect around $240-or-so million of EBITDA in the first half, which does have a step-up from 1Q to 2Q. We won't have the Chinese New Year impact in 2Q, which accounts for some of that. And then as you think about the range for the full year. The bigger variable is the second half, obviously. And that guidance range is predicated clearly on an electronics market recovery in the second half. And the strength of that recovery, the slope of that recovery is the largest variable of how our results will fall within that range, right? So the low end of the range implies call it, 10% to 11% EBITDA increase in 2 -- in the second half versus the first half and the high end implies about a 20% increase in the second half versus the first half. There is reason to believe that we'll see that ramp. There's typical seasonality in the business, but then there are other indicators that suggest that give us confidence in electronics recovery in the second half, right? Smartphone units are forecast to be roughly flat this year and they'll be down significantly in the first half, which implies a real ramp in the second half. If the recovery comes later in the second half, it bodes very well for momentum into 2024. And to the extent that we don't see that recovery we have cost levers at our disposal to preserve profits. So that's sort of how we think about the range.
Josh Spector: No, that's helpful. I'm just wondering, I mean, how do cost fit into all this? I mean if you look at logistics, raws, those things, I mean how much have you absorbed and not recovered over the past year or so? And I mean you made a comment earlier, potential post-demand returns and inflation abates, like what would that scenario look like?
Ben Gliklich: Yes. That's the best scenario, right, where you see a recovery in electronics demand and you see moderation in input costs. We've seen our input costs stabilize in Q4, but we haven't seen them starting to come down yet. Logistics is a $25 million headwind year-over-year in 2022. Overall other raw material inflation takes total inflation in our cost of goods to about $100 million. And we've taken a lot of price, but we haven't gotten all of it. So there is a margin opportunity from potential deflation that would also help us get towards the higher end of our guidance range. We have continued to be opportunistic around price. And so there may be an opportunity associated with that as well in 2023.
Operator: We will take our next question from John Roberts with Credit Suisse.
John Roberts: Since we have Martin Franklin on the call, I thought I'd ask a question. Martin, how does the Board think about the portfolio? Do you need to be broader in the electronics, some of your competitors have a lot more breadth or maybe more semiconductor exposure? And do you see electronics just continuing to get larger relative to industrial because it grows faster? Or do you think at some point, you do an adjacency in industrial to get more balance between the portfolio?
Martin Franklin: Interesting question. I mean I will tell you, I've always believed in scale. What we've done successfully so far is bolt-on acquisitions. As you know, we're not afraid to be acquirers. Obviously, semiconductors parts of the market have better growth characteristics and come at a higher price. We've picked our spots where I think we've made a very good return on the investments that we've made. But this company generates a lot of cash. We want to continue finding areas and pockets where we can grow for the things that I think the public has seen, there have been a number of things that we've looked at that the public haven't seen because we're very disciplined. And I think that both Ben and I, we're very much on the same page as to where we think opportunities exist. But we do compete very ably with some of the larger players out there. It takes time to take share. But I think the company has been very well positioned to move forward and frankly, grow faster than its end markets. So yes, scale is always better. But I think I'm very happy with where the portfolio is today. And obviously, if we can expand it into adjacencies, we will.
John Roberts: And then a short-term question. SG&A was down a lot in the fourth quarter. Some of that would have been currency, but compensation is also a big part of how you variabilize your cost structure, so was there a reversal in the fourth quarter from over accruing earlier in the year given the year ended much weaker probably than re-budgeted?
Ben Gliklich: Yes. So it's a pay-for-performance culture and this year, we had a strong year. We're proud of our results, but we didn't deliver the level of growth we would have expected coming into the year. And so there were some compensation accrual reversals that impacted the second half.
Operator: And we will take our next question from Kieran De Brun with Mizuho.
Kieran De Brun: Good morning. I was just wondering if you could parse out a little bit more. I think you -- you mentioned you strengthened assembly and semis seem to be a little and circuit or a little bit weaker kind of ending the year. When we think about the cadence, I guess, throughout 2023. It seems like Assembly is still poised to be relatively strong throughout the course of the year with the [indiscernible] recovery in circuitry semi. Is there any color you can give us there on how you're seeing that or how you that to progress throughout the year, that would be helpful.
Ben Gliklich: Yes. Thanks for the question, Kieran. Yes, the assembly business had a strong -- certainly a relatively strong Q4 versus the circuitry and semiconductor businesses. The explanation for that is that the assembly business has a broader electronics exposure and more into call it, industrial end markets. We've got a big piece of that business that goes into power electronics for electric vehicles, and we've seen significant production ramps there. And so that resilience should persist over the -- over 2023. Again, we expect the dynamics in the second half to carry over into the first half and the assembly business should be -- should not be exempt from that.
Kieran De Brun: Great. And then I think you just mentioned quickly, and you already touched on this a little bit, but cost levers to preserve profits if we end up in a more challenging environment throughout the course of '23. So if you can just touch a little bit more on that, that would be helpful.
Ben Gliklich: Yes. We didn't throw all the levers at our disposal in 2022. And so as we look to 2023, we've got a significant cost opportunity at our disposal if we feel the need or the demand environment does not justify the level of spend that we have in our plan. Travel has increased somewhat significantly from 2021 into 2022. Incentive compensation is still -- accruals will be there. And then other, we'll call it, discretionary spend that we can very quickly moderate without sacrificing long-term growth, right? And so that's how we think about these things when we go after cost, it's not innovation spend. It's not large groups of people -- these are the people our customers rely on and will deliver the long-term growth we expect from these businesses, but there's still a substantial opportunity in cost when the demand environment isn't there.
Operator: We will take our next question from Chris Kapsch with Loop Capital Markets.
Chris Kapsch: So you mentioned a couple of times in your formal remarks about the outperformance relative to the market, at least in the electronics space. I'm just curious about getting a little bit more granular on the dynamics there? Was this sort of a function of inventory management or likely more a function of your over the last 12 to 18 months, you've kind of had a disproportionate number of wins and getting specked into new PCB lines. I'm wondering if that's contributing or is it over-indexed relative to some end markets versus others? Just a little bit more explanation there would be helpful. And then as you see the electronics end market inflect later this year, is that outperformance expected to persist, will become more pronounced or diminished? Any color on those dynamics?
Ben Gliklich: Sure thing, Chris. And we tried to call that out in the slide deck where we look at our biggest end markets and show our relative performance. We look at the electronics market and smartphone is the biggest end market for us there. Smartphone units were down 11% in 2022. They were down 18% in Q4. We grew our electronics business organically on the top line in 2022. And then our higher end electronics portfolio in circuitry and semiconductor was down in Q4, but not nearly to the extent that the smartphone market was down. It's hard to calculate market share intra-period, but we've clearly outperformed units in the biggest end markets that we have exposure to in electronics. And similarly, in industrial, we did lag automotive production in the third quarter, which we were concerned by, but it was really driven by inventory in the channel clearing, and we reaccelerated in Q4 and see significant big new wins contributing to our industrial portfolio in 2023 that gives us a high level of confidence in share. And then when we think about what we're doing in Power Electronics, for example, where we're in a leading position, we're clearly outperforming that broader electronics market because of our share there and the relative growth there. So overall, we do see this business as outperforming its end markets. We do see significant share opportunities coming our way, and we feel very good about our relative performance.
Chris Kapsch: So just to follow-up on that. So it's really primarily a function of the success you've had in proactively getting landing effectively new business and new PCB production lines over the course of the last year?
Ben Gliklich: So I think it's new wins in mix. Our exposure to faster-growing end markets and concentration in those faster-growing end markets is growing our share of the overall pie.
Chris Kapsch: Okay. Got it. And then one follow-up on the -- just to try to reconcile your EBITDA guidance and your free cash flow and you've given the interest expense, cash taxes, CapEx assumption. So the plug there is working capital. Just wondering if that's just a function of sales recovering, it looks like the -- your assumption working capital source of cash and anything else going on there we should be aware of?
Ben Gliklich: Yes. So working capital is the plug and there's sort of multiple ways for us to get to our free cash flow number. If we come in towards the higher end of EBITDA. We're going to be investing in working capital because the business will be accelerating in the second half. And if we don't see that trend, working capital will be a smaller use of cash. The business does require an investment in working capital as it grows but we feel comfortable that different EBITDA outcomes we get to a comparable cash flow number.
Chris Kapsch: And just the relative inflation or deflation in metals, how does that play out in the working capital number.
Carey Dorman: So it's Carey. No, the reality is the lower metal prices that we have today versus the average of 2022, should all else equal, reduce our need for inventory, dollars investment in inventory. I don't think you're going to see a significant impact there based on current prices of things like [indiscernible] which are actually not that far below the 2022 average price. But certainly, if those come down, the dollars that we require to invest will come down, but also our reported sales will come down commensurately. And so as we look at this from an inventory days perspective, it's not really an impact.
Operator: [Operator Instructions] And we will take our next question from Jon Tanwanteng with CJS Securities.
Jon Tanwanteng: I was just wondering how confident are you in the guidance range and then the second half pickup that you're being out there. Are your customers specifically telling you to get ready for better demand? And are there specific new projects and programs that are ramping within the electronics business? Or is it more of a top-down implication where smartphone and other electronics inventories has troughed over markets just simply have to pick up to get back to the flat industry forecast?
Ben Gliklich: The general consensus is for an electronics recovery in the second half of the year. And broader industry participants are indicating that it's supported by third-party research around the recovery -- around flat smartphone units year-over-year. Now historically, what we've seen is after a bad smartphone year, you see a good one which would suggest an even greater ramp in the second half than what's implied in our guidance. But this is not an industry where there are 9-month lead times. And so it is very -- it is plausible that, that recovery doesn't occur. And the way we think about our guidance is that there are multiple ways to win. We have that cost lever at our disposal. As I mentioned in the prepared remarks, we have wind in our sales in the Industrial and Specialty business, and we've got more conviction around that because we see it and it doesn't have the same level of ramp. But again, we can get to our guidance range in multiple ways. That's the hallmark of this business is a variable operating cost nature, the ability to preserve profits when demand doesn't materialize.
Jon Tanwanteng: Understood. And then just a question on the EPS guidance for the year. Is there a specific amount of shares underlying that, whether you're repurchasing or not?
Carey Dorman: So if you take that range from EBITDA down to EPS, you need a little bit of capital allocation to get to the low end of EPS compared to low end of EBITDA. And then on the high end, there's really no capital allocation assumed in some of the other levers like tax, et cetera, all the other way. So I would think about some capital allocation on the low end but not significant.
Jon Tanwanteng: Understood. Just one more, if I could. As you head into Q1, I was just wondering about the sequential expectations for mix between industrial electronics and electronics and maybe within the kind of the subsegments if you're seeing anything unusual just on a sequential basis?
Ben Gliklich: Sequentially, I'd characterize electronics as being a little softer because the Lunar New Year impact just means fewer production days in Asia, which is where the bulk of that electronics business is and the balance of that being covered by the Industrial and Specialty business. And between those 2 things, you get to what we talked about a couple of percentage sequential EBITDA growth.
Operator: We will take our next question from Steve Byrne with Bank of America.
Rock Hoffman: This is Rock Hoffman on for Steve Byrne. You guys already mentioned automotive and telecom infrastructure, I was wondering if you're seeing any other green shoots in the electronics market, particularly in the high-end tech market that give confidence in a strong TH recovery? And what does this guidance numerically assume for end market growth, particularly for autos and handsets in 2023?
Ben Gliklich: So it's hard to speak about green shoots and electronics right now at the high end. I think that generally across the industry, folks are expecting trough in Q1, Q2 and that is what is implied by our guidance. And that is what we are seeing. We're seeing a particularly weak electronics market here and now today. Our guidance implies roughly flat units in smartphones, right? We talked about that. But there's a phasing to that. The first half is going to be down. Remember, in 2022, the first half was very strong in electronics. And then the second half necessarily will be much stronger than the second half of 2022, which underpins that inflection. We're talking about the electronics business. With regard to automotive, we're modeling roughly flat automotive units, a modest pickup, which is roughly in line with third-party estimates.
Rock Hoffman : Understood. My second question, just are weaker volumes prohibiting any realization of lower raw material costs? Or are you seeing those flow through into current results. If the former, should we -- or should margin opportunity accelerate with the volumes? Just what's your general outlook for 2023 deflation or inflation more broadly.
Ben Gliklich: So we don't have significant deflation in our guide. As we said in the fourth quarter, we saw input prices stabilizing. And so we've extrapolated that for 2023. So there is an opportunity from deflation. There's also a risk of inflation depending on how the economy in China develops over the course of 2023 post the COVID reopening. Of course, if demand improves because of that, that's an opportunity for us on the top line that likely offset any potential inflation.
Operator: And we will take our next question from David Silver with Seal King.
David Silver: Ben you added some color, I think, on electronics and on smartphones. I was going to ask you, maybe if you could add a little detail to your comments about global automotive end markets. So in your prepared remarks, I mean in the press release, you talked about the market slowly normalizing in your supply chain clearing. But I was just wondering if you could maybe extend those comments a little bit. I mean, is this a comment about semiconductor availability or other parts becoming available? Is it more directed towards global auto builds in general, improving? Or is this more related to the transition or the pace of the transition to EVs where your -- I consider your company very well positioned to benefit from that trend. So just a little color about what you're seeing in the automotive end markets.
Ben Gliklich: Yes, absolutely. Thanks for the question. So the automotive production lagged expectations through the first half of 2022 and then accelerated in the back half, we lagged that acceleration in Q3 because there was inventory in the channel, not of our products but of our customers' products. And then we saw that normalize and we saw that inventory clear in Q4 where we outperformed units. And as we think about 2023, we see some growth from lapping that channel inventory and the share gains that we've had, some of the big wins we've had in the industrial and specialty in the Industrial Solutions business. So our comments about roughly flat auto and that supply chain being more constructive really relate to that, and that's primarily on the Industrial Solutions side. However, the power electronics and the proliferation of electric vehicle impact is in the electronics side of the business. And we had a question earlier about the relative outperformance of our assembly business within electronics, and that's really being driven by EVs where we do have a very strong position and anticipate continued profitable growth from the proliferation of electric vehicles. And that's not just a 2023 story. That's year story where we're still in the early innings.
David Silver: I'd like to ask just a question now about general trends in working capital. So second half of the year, you cited a $70 million sourcing, I guess, or release of working capital. But if I look back in your results over the past couple of years. I mean it seems the buildup in working capital has been greater than the $70 million. Just in general, what are your expectations for working capital use or release during 2023? And how much of that factors into your $275 million free cash flow estimate?
Carey Dorman: It's Carey. So I'll start with the 2023-point and then go back to the question over the last couple of years. So for 2023 we are assuming in the base case a use of work -- use of cash and working capital. Again, as we said earlier, it's really the plug to sort of get to that 2.75 and there's depending on the phasing of growth and the magnitude of growth, particularly in the second half of the year that number can vary pretty significantly in terms of the investment we'll make. I think if you were to just do the walk from EBITDA down to the $275 million, it's roughly the same size investment that we made in 2022. And I would expect, again, that you would see the similar phasing that we see in most years where, sorry, that you would see [indiscernible] that of growth where you'll see a pickup in those dollars invested as the year goes on. If you go back to 2020, 2021, the working capital as a percent of sales ticked up but has trended back down throughout 2022. And there's really 2 reasons that I think we've seen that grow a little faster than sales over that period. One is inflation in the input prices that we haven't fully offset in selling price, as we mentioned. And the other is the safety stock that we've had to build because of the supply chain disruptions that we've all seen. So I think there's opportunity over time. I don't think 2023 is setting up to be the year where all that safety stockholder release, but it's an opportunity over the longer term.
Operator: [Operator Instructions] And we will take our next question from Angel Castillo with Morgan Stanley.
Angel Castillo : I was hoping you could give us a little bit more color on, just on a regional basis, what you're seeing. Obviously, a lot of that overlaps with electronics and OEMs, but maybe in particular, some color on the industrial side of things, what you're seeing in Europe and North America. And as you think about kind of the improvements in industrial markets or Asia, what you're kind of seeing in those markets as well from a regional basis?
Ben Gliklich: Yes. So I'll start with Europe, which is the best story. We were pretty cautious about Europe in the fall and early part of the winter with the risk of gas rationing and the impact of gas price inflation on our customers, right? We did that survey I mentioned in the prepared remarks. One of our largest customers in Europe and half of them expected to go to short work over the winter, and none of them did. And so the dynamics in Europe are much more constructive than we expected entering the year, though that is considered in our guidance. In Asia, it's hard to get a good read on Asia before, call it, March because you have the Lunar New Year impact. Where there's some channel loading before the holiday and then the holiday can be a week or 2 weeks, but it's been slow, right? It's been slow partially because of the proliferation and because of the COVID impact on the workforce and recovering from the COVID lockdowns that we saw, we don't have a great sense today for the slope of recovery from COVID in China. That's a big variable for us. And then in North America, things have been pretty steady going back several quarters, and that's been a reasonably healthy market for us on the industrial side of the business. All of those comments relate to industrial. But no big surprises, I would say, other than a positive surprise from Europe at this point in the year.
Angel Castillo : Got it. That's very helpful. And then just curious on your comments around Asia, I think one of -- another electronics company talked about PCB plans potentially restarting in the next few months. And also semi-fabs utilization rates starting to pick up and get back to maybe more normal after some destocking here. Are you hearing anything from your customers that seems to suggest a similar kind of cadence as we get maybe beyond first quarter? I recognize there's visibility more than a month up. But just anything you're hearing that maybe kind of reinforces that as well?
Ben Gliklich: Yes. We're not hearing anything inconsistent with that is what I would say. I think that overall, the industry believes that the second half will see a material recovery from a slow first half, and I think that we're all aligned in that regard.
Operator: And there are no further questions at this time. I will turn the call back to Ben Gliklich for any additional and closing remarks.
Ben Gliklich: Thank you, Abby. And thanks everybody for joining. We look forward to seeing you in the coming weeks. Have a good day.
Operator: And ladies and gentlemen, this concludes today's conference call, and we thank you for your participation. You may now disconnect.